Operator: Good morning, ladies and gentlemen. Welcome to the North American Construction Group’s Earnings Call for the First Quarter ending March 31st, 2020. At this time, all participants are in listen-only mode. Following management’s prepared remarks, there will be an opportunity for analysts, shareholders and bond holders to ask questions. The media may monitor this call in listen-only. They are free to quote any member of management, but they are asked not to quote remarks from any other participant without participant’s permission.The company wishes to confirm that today’s comments contains forward-looking information, that actual results could differ materially from a conclusion, forecast or projection contained in that forward-looking information.Certain material factors or assumptions were applied in drawing conclusions or in making forecasts or projections that are reflected in this forward-looking information. Additional information about these material factors is contained in the company’s most recent Management Discussion and Analysis which is available on SEDAR and EDGAR, as well as the company’s website at nacg.ca.I will now turn the conference over to Martin Ferron, Chairman and CEO. Please go ahead, sir.
Martin Ferron: Thanks and very good morning to everyone. Following on from three years of solid growth from 2017 to 2019, we entered 2020 full of optimism and enthusiasm. We were looking forward to another successful year based on plenty of work in hand and a strong backlog for the medium-term.We expended our growth capital in January on new assets to support a key customer of the Kearl mine on firm contractual terms. We pressed on with our front end loaded sustaining capital plan for the year and decided to call a convertible debenture which had been deeply in the money for many months. Then, around March 15th, the gravity of the COVID-19 virus outbreak, combined with an oil price war, began to weigh heavily on our business.It would be easy to consign our Q1 performance to the record books with a, who cares, that was then, and this is now attitude. However, I will look back on it as a quarter when firing on all cylinders, my amazing team of employees, put up numbers that I always be – will be immensely proud of. In fact, if not for the deteriorating business conditions towards the end of the quarter, we would likely have put up an adjusted EBITDA number in the mid-60s and adjusted EPS close to $1 dollar.I will now hand the call over to Joseph Lambert, our President and Chief Operating Officer, to take us through the safety and other operational highlights shown on Slides 2 to 4. Jason Veenstra, our CFO, will then cover financial highlights from Slides 5 to 8, before I talk about our outlook using Slide 9.Over to you, Joe.
Joseph Lambert: Thanks, Martin. Looking at Slide 2. Our unwavering commitment to safety continued through Q1 and into the onset of the virus, where we further demonstrate that even with increasing workforce hours and winter conditions, we can maintain our industry-leading safety results.Starting March and continuing into Q2, our business has naturally felt the impact of this pandemic, and is demonstrating our commitment to the health of our employees physically, emotionally and financially. Physical health is protected with our policies and procedures, ensuring workplace hygiene and accommodating physical distancing and work from home.Emotional health has been bolstered through strong support from both our internal human resources team and external assistance programs. And finally, financially, through doing everything in our control to minimize the layoffs during this pandemic. If there is anything positive to draw from this experience, is the heightened awareness and commitment to continuously improving employee health.Moving on to Slide 3 with our business update. We have quite the contrast of a Q1 demonstration of what we can achieve in a stable market and normal weather pattern to that of an unanticipated, unusual Q2 opportunity to show our business resilience and ability to adjust quickly to the most volatile markets.In boxing terms, we certainly prefer to show our ring prowess and punching power like we did during the majority of Q1, to that of demonstrating our ability to take a punch here in Q2. But in an inherently cyclical commodity business, both skills are required for sustainable business success.Moving on from the bottom of Slide 3 and into Slide 4, you’ll see what we believe to be characteristics of a strong corporate culture, and that our core strategy remains intact, and we have adjusted the priority on objectives to match current business climate. We expect our customer-first mentality, safe low-cost provider reputation and client alliance relationships put us as a frontrunner in working with our long-term oil sands clients to reduce cost, improve efficiency and weather this low oil-price environment.The need for lower cost and improved efficiency only further reinforces the value of both our internal and external maintenance services. Our new component rebuild facility got up and running in Q1, and we will be ramping up through Q2 to provide low-cost high-quality components initially supporting our internal needs and growing into next year with capacity for additional external revenue. Machine health is only second to employee health in our overall business success, and the value of these maintenance services only increases during economic downturns.Our oil sands fleet utilizations will obviously drop from our high Q1 levels. And we are aggressively marketing, bidding and pursuing work in other resource and geographic areas using our own business development and also through our Nuna Group of Companies. The virus impacts have not deferred our expected Q2 startup schedule for assuming operational management of a Texas lignite mine. And I look forward to telling you all about our successful transition on our next quarterly call.To close out my brief comments, I’d like to take this opportunity to personally thank all of our employees, clients, shareholders and other stakeholders that continue to support and show confidence in our business. We will again prove the naysayers wrong and demonstrate we can take a one-two punch of COVID and oil price and recover stronger than ever.The consistency of challenging events in the 12 plus years I have been in North American is an understood reality in the mining and construction industries. But our persistence and resilience have given us the abs of steel to absorb the impacts for these such occasions.With that, I’ll turn the call over to Jason for details on our financial health.
Jason Veenstra: Thanks, Joe and good morning, everyone. So I’m starting on Slide 5 here with our top line. Revenues for the quarter of $199 million was $12 million above last year’s Q1 despite the impact we realized at our mine sites in the latter half of March. As Joe mentioned, we started the year strong, which was a continuation of the momentum we had from Q4 2019. All business lines were positive year-over-year, with incremental organic growth being the dominant factor for the first time in a while.The posted quarter-over-quarter organic growth of 10% was primarily achieved through higher equipment availability and utilization. The 10% increase is inclusive of the COVID-19 revenue step down in the latter half of March. Further contributors to the year-over-year revenue increase were the partial quarter contribution of growth capital equipment purchased early in the quarter, as well as the coal mine management contract which commenced in late Q2 2019.Offsetting these revenue growth factors was the change in method of reporting for Nuna, which now classifies its revenue and equity earnings and the Q4 2019 completion of work at the Highland Valley Copper mine. Our share of Nuna revenue during a fairly quiet quarter was $10 million, and is disclosed in the notes to the financial statements.Gross profit margin of 17.4% reflected a strong operating quarter as standard weather conditions and scopes of work provided for favorable operating conditions. Furthermore, the now fully integrated fleet lowered overall equipment idle time during this year’s winter season, and equipment maintenance costs were consistent with expectation.Offsetting these positives, the posted margin includes the impact of COVID-19, which started affecting operations in mid-March and resulted in reduced volumes and certain demobilization costs, as well as restricted site access, changes in operating protocols and increased frequency of workforce health monitoring.Excluding the impact of COVID-19, normalized gross profit was over 20%, which properly reflects the run rate we are on prior to mid-March. For reference, the Q1 2019 gross margin of 15.9% was negatively affected by an early spring breakup and the completion of 2 legacy contracts at the Fort Hills mine.Depreciation of 16.3% was generally consistent with last year’s rate of 15.7% on high component activity in the first quarter, but was unusually affected by a write-down of facilities in Fort McMurray for $1.8 million, which has seen market values drastically affected by the COVID-19 pandemic. Excluding this write-down, depreciation was 15.3% of revenue and trending as expected.Below gross profit, general and administrative expense, excluding stock-based compensation was $8.7 million or 4.4% of revenue. As mentioned in the past, this percentage level is our generally expected run rate and reflects the operating leverage in our heavy equipment business, which requires minimal incremental G&A when adding top line revenue.Before we look at net income and EPS, I’ll touch on the strong growth adjusted EBITDA of $59.9 million. The adjusted EBITDA margin of 30.1% in the quarter benefited, as mentioned, by the favorable operating conditions and stable G&A, as well as the diversified businesses of external maintenance and mine management services.Below adjusted EBITDA of $60 million, interest expense of $5.5 million for the quarter and cash-related interest expense of $5.1 million were the same as both Q4 and Q3 2019 and relate to the debt financings we’ve put in place to fund growth.We remain very happy with the credit facility and capital lease financing rates, given we operated an overall cost of debt well below 5% during the first quarter. Below interest, we have routine income taxes of $6 million, which gets us to adjusted net earnings of $18 million compared to $12.7 million last year. This $5.3 million year-over-year improvement can be very quickly summarized by the $5.4 million increase in adjusted EBIT as taxes and interests were consistent year-over-year.Adjusted EPS of $0.70 is the compilation of all the commentary provided, and is a 37% increase year-over-year on the 7% year-over-year revenue increase. For clarity, we have not adjusted EPS for the more general operational impacts of COVID-19, which took an approximate range of $0.15 to $0.20 off our Q1 earnings.Moving on to Slide 6, I’ll summarize our cash flow. Cash generated from operations in the quarter prior to working capital was $54 million (sic) [$55 million], compared to the $45 million last year. Our front loaded sustaining net capital expenditures totaled $38 million, which was in line with our internal budget and expectation prior to the reductions, which we will touch on later. Free cash flow of $9 million was also consistent with internal expectation and was impacted by both first quarter typical impacts of working capital and capital maintenance spending.Moving to our balance sheet on Slide 7, liquidity of $108 million has remained relatively stable over the past three years as we put appropriate debt instruments in place to support our business, and we don’t see that changing. On a trailing 12-month basis, our senior leverage ratio as calculated by our credit facility was 2 times, well below our covenant of 3.The increase of $65 million in senior debt was an account of two specific factors. First, our prudent and intentional increase of cash on our balance sheet of $33 million which of course has no impact on net debt. And second, the $26 million of lease financing for growth capital related to a large hydraulic shovel and related assets we commissioned in January.To close out, I’ll briefly touch on the capital returns that form the foundation of the business model. As at March 31, return on invested capital was 9.9%. Invested capital was $626 million. Trailing 12 adjusted EBIT of $76 million is the basis for the numerator and generated the 9.9%, which continues an impressive 4-year trend. ROIC will be a key performance indicator as we manage both our operations and our balance sheet through this current situation.With those financial comments, I’ll pass the call back over to Martin.
Martin Ferron: Okay. Thanks, Jason and now turning to Slide 9 to talk about our outlook, which for the time being is only shown for quarter 2. We are close to being able to provide a full year outlook, but need to conclude some discussions with our key oil sands customers first.Now, the COVID-19 pandemic is having two main impacts on our oil sands related business, which accounted for 75% of our EBIT in 2019. Firstly, this causing a serious health threat to be managed very carefully, with usually thousands of workers on each of the mine sites where we operate.Therefore, the best way for our customers to deal with this is to reduce workforce levels to the absolute minimum. This allows a better social distancing and cuts back dramatically on crew changes that can bring the virus on to sites. This situation has meant that we’ve been excluded from one mine site since mid-March, which has disrupted our overburden operations there. We currently expect though to resume those operations by mid-to-late May and continue as normal.The second major impact of the pandemic is that it has caused a worldwide demand collapse for oil at a time when Saudi Arabia and Russia decided to provide a supply surge. The time-honored mantra that the best cure for a low oil price is a low oil price, cannot work unless demand begins to normalize and recently announced supply cuts kick in. For the first time we’ve seen production shut in at an oil sands mine as producers simply run out of physical storage for the product. While that mine operates with just one production train, the need for our services is limited.However, our contract structure contemplated these types of occurrences, and the customer has the ability to move the committed volumes between operations. Should this be the case, we expect our base production volumes to remain intact, although there will be a time lag due to the need to relocate equipments. As I mentioned earlier, this is one of the key oil sands customer discussions we need to conclude prior to being able to provide a full year outlook.At another mine site our client has announced an early and expanded maintenance turnaround from early May until late June, when again the need for our services will be reduced on a temporary basis. So all in all, it appears that most of the disruption to our business will be felt in Q2. And we expect our oil sands operations to normalize as the year progresses.We currently expect Nuna to be less impacted where their active seasonal work just getting started. Also, we remain on track to commence the operation on the second coal mine by the middle of the year, as Joe mentioned. Despite all the disruptions, our oil sands business, as just described, we still expect to be profitable and free cash flow positive for Q2.Although EBITDA will be down by 35% from Q2 of 2019, sustaining capital will be reduced by 50%, which really demonstrates the variability of our cost and capital structure. One point of outlook that I can’t provide now is that for the second half of 2020, sustaining capital will likely be limited to $20 million. Although Q2 2020 will be our weakest quarter since the wildfire dominated second quarter of 2016, we bounced back strongly from that situation. And again, as Joe stated, we fully expect to do the same this time around.One near-term [harness] [ph] for us will probably be our core competence of very cost effectively rebuilding oil equipment items and key components. We’ve invested significantly in facilities and personnel for this rebuild strategy over the last few years.It was interesting to hear from the Caterpillar equipment dealer in east of the country on their earnings call state that there has been a recent surge in demand for used equipments, especially rebuilds which is likely a [challenge] [ph] here for some time. The same theme will occur here in the west, and we will excel in our environment.With that, I’d now like to hand the call back to Jacqueline, the operator, for the Q&A session. Thanks.
Operator: Thank you. [Operator Instructions] Your first question comes from Aaron MacNeil from TD Securities.
Aaron MacNeil: Hey, good morning guys. Hope you and your families are doing well. Syncrude has announced that it’s going to shut in some production. I believe that some of this relates to turnaround activity. But I guess the question for me is, does this positively or negatively impact your ability to renew the MSA that expires in 2021?
Martin Ferron: You know I don’t honestly think that it will make any difference. You know, we’re going back to work on that site shortly. We’ve got committed volumes for the rest of the year. And we plan to continue discussions about extending our MSA and volume commitments going forward. I don’t see it as maintenance turnaround impacting that, to be honest.
Aaron MacNeil: Okay. You mentioned in your prepared remarks that Nuna will be less impacted. But as we look towards Q3, and obviously without getting into any specifics, can you maybe expand on that and give us an update on maybe some of the projects Nuna has been bidding on and at least on an anecdotal basis maybe talk about what we might expect for a seasonally strongest quarter of the year?
Martin Ferron: Yeah, I’ll comment in general. And maybe Joe can comment on specific projects. But we are expecting Nuna to have a similar year to last year. And as you recall, their biggest quarter is always Q3 due to seasonality the progress in the north. So we expect a very similar year from them in 2020, as I just mentioned. Joe, any specific projects you like to comment on or?
Joseph Lambert: We’ve had success with Nuna in gold projects in Ontario already for summer construction, and we’re actively bidding more. So the gold marketplace is actually very active. Lot of summer work including like tail dam raises, and there is some new mine site opportunities coming up that Nuna is pursuing, and believe they’ll have great opportunity. And we’re actually partnering with them on one of them.
Aaron MacNeil: Great, thanks guys. I’ll leave it there.
Martin Ferron: Thank you.
Operator: [Operator Instructions] The next question comes from Daine Biluk from CIBC Markets. Your line is open.
Daine Biluk: Good morning, everyone.
Martin Ferron: Good morning, Daine.
Daine Biluk: So I guess maybe just starting off, and you kind of talked about in your prepared remarks that a lot of these client conversations are still ongoing. But in those conversations, can you share if there have been any sort of talk of pricing discounts, especially on contracted work at this stage?
Martin Ferron: Yeah, yeah, of course you know, our customers are being through the shredder between the virus and the oil prices. So you know they’re looking for help from us. And our business model is all about providing low-cost solutions, no matter you know the environment. So we’re trying to help. You know we’re trying to reduce our costs, pass that on to them, do things differently, all the usual things that we normally do. And I think you know they really appreciate our supports. And you know we’ll continue to help them as best we can, because it’s tough time for them, for sure.
Daine Biluk: Understood. I guess moving over to, for some of the mine operators that have curtailed production. Have you seen them do redeploy any of their excess ore hauling equipment or overburdened activities?
Martin Ferron: Joe, can you comment on that?
Joseph Lambert: I didn’t hear the question very well, Daine. Would you repeat it?
Daine Biluk: Yeah, for sure, absolutely. Just for some of the mine operators that have curtailed production, have any of them redeployed excess ore hauling equipment to overburdened removal?
Joseph Lambert: I’m assuming that some of them might be moving overburdened. I don’t – for the most part we haven’t seen any equipment leaving sites or moving anywhere. But they are running their existing mine sites in places where they’ve reduced their ore feed. I believe they would switch and move a bit more overburdened.But I think it’s a timing issue, Daine, where these are predominantly maintenance turnarounds being brought forward. So in their overall annual mine plan, these volumes of overburdened and movement now, they would have been doing next quarter. And so, I don’t think it changes their overall overburden plans for the year. I think it changes what it was going to be in Q2 versus Q3.
Daine Biluk: Understood. Okay. That’s very helpful. Thank you.
Martin Ferron: Yeah, Daine, we have committed volumes on many of these sites also, right, so we expect to complete those volumes this year.
Daine Biluk: Right, okay. Got it, and good, thank you. That’s helpful. Beyond Q2, how are you thinking about the rate of share buybacks? And would dialing that allocation up or down largely be a function of underlying free cash flow?
Martin Ferron: You know, so as of today, Daine, we’re close to 50% through the NICB. So depending on what happens to the rest of the quarter here, we could finish it. So it just depends on price and you know obviously we’re buying everyday at present with the stock in the 6s. So glad to be doing that and you know we’ll keep going until the NCIB limit is reached.
Daine Biluk: Understood, okay that’s helpful. Thank you. And then last question for me, which is probably for Jason, how should we be thinking about changes in working capital specific to Q2 as well as for the balance of the year?
Jason Veenstra: We should be pretty flat working capital-wise. Given when the pandemic kind of hit us middle of March, we kind of did collect a lot of accounts receivable. We have a pretty quick turnaround. And so, I think if this hit would have been later in March, it might have been a more pronounced change. But I see a slight pickup in working capital in Q2, and then pretty flat coming out.And obviously, if we have a big Q4, you know we could see a bit of a build in accounts receivable. But I really don’t see much from an accounts receivable and payables perspective given the timing. A benefit we will see which will contribute to the slight improvement in Q2 is, we will see a reduction in inventory, parts inventory, just with the natural flow of the business with top line coming down.
Daine Biluk: Understood. Okay, great. That’s all for me. I appreciate the color, guys. Congrats on the good quarter and hope everyone is staying safe.
Martin Ferron: Likewise, Daine. Thank you.
Operator: [Operator Instructions] Your next question comes from Devin Schilling from PI. Your line is open.
Devin Schilling: Hi guys. First off, congrats on the strong quarter here despite the challenging situation we’re in right now.
Martin Ferron: Thanks, Devin.
Devin Schilling: Yeah, I was hoping if you guys could provide a bit of color here on – you’re talking about this one particular mine site, where you’re going to be entering some discussions of possibly redeploying some equipment. If talks there, I guess fail to realize, you guys being able to redeploy all the capital, all the equipment that you’re originally expecting, what’s kind of the opportunity here to potentially redeploy some of this equipment to go work with Nuna here? I see you guys added some equipments in Q1 for this whole project, so just trying to get a bit more color there on the opportunity.
Martin Ferron: Yeah. So we’re always looking at sharing equipment with Nuna, Devin. Their needs are smaller than ours in terms of size. So you know the opportunity is somewhat limited but we’re always looking at it. And they’re bidding some projects that require incremental equipment. So of course it will make sense for us to try and supply that from our fleet. So we’ll be doing that in the normal course. And I’m sure it will help us as the year progresses.
Devin Schilling: Okay. No, that’s great. I guess on another note here, it’s safe to assume that the growth CapEx plans that were originally in place for this year, are they – is that mapped up, there is nothing left in the rest of the year outside of this sustaining capital that you’ve just recently mentioned?
Martin Ferron: Yeah, I think that’s correct. We expanded the growth capital very early in the year as planned. And we bought a shovel and some excavators which are still operating on very favorable terms to us. So it’s a good investment.
Devin Schilling: Okay, great. I’ll jump back in the queue for now. Thanks.
Martin Ferron: Thank you, Devin.
Operator: Your next question comes from Richard Dearnley from Longport Partners. Your line is open.
Richard Dearnley: Good morning. What percent of sales came from backlog? And I didn’t get a chance to go into the queue and see what backlog is. What is – what was the exiting backlog?
Martin Ferron: Jason?
Jason Veenstra: Yeah. So we’re at $1 billion still just under around $2 billion. And it was about half of revenue in the first quarter, just off the top of my head, was related to backlog. We do have it in our MD&A, but –
Richard Dearnley: Right. And do you expect because of the virus and the lagging effects that more of ‘20’s revenues will come out of backlog versus normal, whatever normal is these days?
Martin Ferron: Yeah, that makes sense, doesn’t it? You know I think you know the spot work that we do to make up the other 50% of normal effort will increase. So our backlog will you know account for a large portion of our revenues.
Richard Dearnley: And then, same way you know with the second quarter being the slow quarter, and adjusting for that. Your equipment utilization now you’ll also have to adjust for how fast break up is and all that, but again, just you know a feel for where you are relative to normal in equipment utilization?
Martin Ferron: Joe, you want to take a shot at that?
Joseph Lambert: Yeah. I think obviously our – I mentioned in my comments, yeah that Q1 we are higher than normal. Obviously Q1 is going to be low. For the remainder of the year, what I’d say is that it’ll be less than what we previously experienced. One thing I’d say is that, it’s more weighted towards the larger equipment.So when Martin was talking about backlog, most of the backlog is related to our larger trucks and shovels. And so even with – you’ll have a lower utilization, but it will be – you know I don’t like to put the numbers to that, but it’s the equipment that is running is the larger equipment, so the higher revenue generating per hour equipment.
Richard Dearnley: Right that’s okay. That makes sense. And when you mentioned your committed volumes will get finished this year, from what you were just saying, it sounds like you’ll be using them up somewhat faster than you maybe, you know what then was the plan for ‘20, do I have –
Joseph Lambert: The committed volumes are annual commitments, Richard. So there is – the contracts don’t have an ability, they can overproduce the committed volume in 2020, but there is not an ability to do 2021 volumes in 2020. They’re distinctly separated into annual committed volumes.
Richard Dearnley: Oh, I see. Okay. Good, thank you very much.
Joseph Lambert: Thank you, Richie.
Martin Ferron: Thank you, Richard.
Operator: There are no further questions at this time. I’ll turn the call back over to your presenters.
Martin Ferron: Okay. Thanks, Jacqueline. And thanks to everybody else for joining us today. We look forward to talking to you again in the near future. All the best. Stay safe.
Operator: Thank you. This concludes the North American Construction Group conference call. You may now disconnect.